Operator: Good morning, everyone and welcome to our conference call. Tom, Cecilia and Hugh are here with me to discuss Allied’s results for the Fourth Quarter and Year Ended December 31, 2020. We may in the course of this conference call make forward-looking statements about future events or future performance. These statements by their nature are subject to risks and uncertainties that may cause actual events or results to differ materially, including those risks described under the heading risks and uncertainties in our most recently filed Annual Information Form and in our most recent quarterly report. Material assumptions that underpin any forward-looking statements we make include those assumptions described under forward-looking disclaimer in our most recent quarterly report.
Cecilia Williams: Good morning. First, our financial results, our portfolio and our user base demonstrated resilience throughout 2020. Although rental revenue was temporarily depressed, our same asset NOI, FFO per unit and AFFO per unit in the fourth quarter were all up from the comparable quarter last year. Our fourth quarter was also stronger than our third quarter in each of these metrics. The same is true of our results on a full year basis even with the inclusion of $10 million worth of non-recurring items in the period. These non-recurring items consisted of $5.1 million of abatements provided under the CECRA program, provisions on deferrals of $2.8 million, and temporary erosion in our parking revenue. Second, our balance sheet, our NAV per unit at December 31 was up 4.3% from the same time last year. Our IFRS value increment in the fourth quarter was up $15 million, primarily as a result of rent growth in Toronto partially offset by continuing softness in Calgary. We finalized our Green Financing Framework. It’s been certified by Sustainalytics and is available on our website. Our intention is to have our next bond issuance be our inaugural Green bond. This is a reflection of our ongoing commitment and sensitivity to ESG issues. At the end of the fourth quarter, our net debt to EBITDA was 7.4x. Our total debt was 29.2% of IFRS value and our interest coverage was 3.4x. We estimate our developments, which have a 13.5-year weighted average lease term will increase our annual EBITDA by approximately $70 million over the next 3 years. Not only will this augment our earnings per unit significantly, along with anticipated organic growth, it will materially reduce our ratio of net debt to EBITDA and materially increase our interest coverage ratio, our two most important debt metrics. Our pool of unencumbered assets is $6.5 billion, representing 73% of our investment properties. We intend to continue prepaying or repaying mortgages as they come due, with the goal of having the majority of our asset base unencumbered. We believe this will give us the strongest and most flexible balance sheet from both a defensive and offensive perspective.
Tom Burns: Thank you, Cecilia. Our leasing teams in Montreal, Toronto, Calgary and Vancouver performed very well in Q4 and indeed performed very well over the course of 2020. In all, they completed 258 transactions in the year, with 105 transactions being new deals. That is 105 new tenants to the portfolio. Over the year, we achieved a healthy 17.2% year one base rent increase on space renewed or replaced. Overall, leased area decreased slightly to just under 93%, but the decrease was not due to the pandemic. There were four separate reasons. First, we acquired some buildings early in the year with vacancy. Second, there were a few non-renewals, which were known to us. Third, we were partially de-leasing two buildings in Montreal and two in Vancouver to prepare for repositioning in 2021. And fourth, we added TELUS Sky to the rental portfolio in Q4 and that building is 68% leased. If we were to make an apples-to-apples comparison, our leased area would have actually gone up in 2020. I will provide an update on leasing activities in our major markets, including an update on our UDC portfolio then conclude with some remarks about the sublease market. Montreal again in Q4 was our most active market, with that team completing 38 deals in the quarter and a very impressive 130 deals for the year. While there were no noteworthy transactions in Q4 in terms of size, the team is currently working on an 89,000 square foot extension and expansion with an existing tenant and a new lease for 50,000 square feet in space that is currently vacant. I will provide updates on these two transactions at our next conference call. In Toronto, we are 96% leased and concluded the 61,000 square foot lease extension mentioned as conditional on the Q3 call. We also relocated and expanded a fin-tech tenant for 37,000 square feet and relocated and expanded a tech tenant for 26,000 square feet in the quarter. Just subsequent to year end, the team completed a 25,000 square foot lease with a law firm for two floors in the high rise portion of the tower at The Well, bringing our leased area in the office component of that project to 86%. This most recent deal was completed at rents above pro forma. It’s worth mentioning that this important transaction involves the Toronto leasing team and our most senior leadership.
Hugh Clark: Thanks, Tom. This quarter has been characterized by solid progress on a number of construction projects. While the second wave of COVID has had an impact on manpower at our construction sites, we have worked with our construction teams to try to minimize the impact on overall schedule. I will begin by giving you an overview of our major projects and then follow-up with an update on planning activity for our development pipeline. Construction activity. Beginning in Montreal, our team has been focusing on vacant suite upgrades and the upgrade of 400 Atlantic and 700 DLG. We have been able to make progress on both properties. We anticipate the projects to be completed by the end of the year and the first quarter of 2022 respectively. In Toronto and Kitchener, our projects have progressed well despite the government restrictions on construction. Luckily, all of our projects – all of our major construction projects fit under the exemptions that permit work to continue. The Well has reached the 36th floor of the main office building and will be topped off in early Q1. We have completed the handover of 2 of the 6 transfer slabs that have allowed us to close on those two air right sales. We anticipate closing on the remaining sales through 2021. Working with our construction managers, we have been able to minimize the impact of manpower reductions due to COVID. We continue to be committed to maintaining safe sites and meeting our lease obligations. In Western Canada, we have made solid progress on the Lougheed Building restoration and are now well underway in our work on the Boardwalk Revlon Building in Edmonton. In Vancouver, our partners, Westbank are completing the installation of the envelope of 400 West Georgia. Tenants will begin their fit-up work in late Q2 and into 2022. Planning activity. Our focus this quarter has been to prepare for formal submissions for a number of intensification projects in Toronto and Montreal. We anticipate making the submissions in late Q1 and early Q2 for our Bathurst Street assembly, the Castle and Liberty Village and Nordelec’s first expansion. These potential projects, when approved, will contribute approximately 500,000 square feet of office space to our pipeline of future intensifications. This quarter has seen progress made on all fronts of our development activity despite the impacts of COVID. While at this point we do not anticipate material changes to the construction schedule of our major projects, we are working proactively with our various teams to address the impacts on manpower that we have seen over the past 3 months.
Michael Emory: Thanks, Hugh. The resilience of our platform, coupled with uninterrupted demand for distinctive urban workspace, enabled us late in the fourth quarter to increase our annual distribution for the ninth consecutive year. While speculation about the disruptive impact of working from home continues, every indication we have received from our users is that they will bring their workforce back to the office once the pandemic is over. For most knowledge-based organizations, working from home for an extended period of time appears to be materially suboptimal in relation to culture, engagement and productivity. Our job is to continue to anticipate how urban workspace will evolve just as we have done for decades now. In light of our experience since returning to the office in early July of last year, I continue to have deep confidence in and commitment to Allied’s strategy of consolidating and intensifying distinctive urban workspace and network dense UDCs in Canada’s major cities. I firmly believe that our strategy is underpinned by the most important secular trends in Canadian and global real estate. I also firmly believe that we have the properties, the financial strength, the people and the platform necessary to execute our strategy for the ongoing benefit of our unitholders. Acquisition activity has never been an end in itself for Allied but rather has always been a means to providing knowledge based organizations with distinctive urban workspace more effectively and more profitably. The same is true of our development, redevelopment and upgrade activity. We remain intent on augmenting our urban workspace portfolio on an ongoing basis and our UDC portfolio within a 3 to 5-year timeframe. Urban workspace in Canada is beginning to trade again following a hiatus during the shutdown and the early stages of the reopening with the most notable trades having occurred in downtown Toronto and downtown Vancouver at low capitalization rates. I expect meaningful acquisition opportunities to emerge for Allied in 2021 and we will be ready, willing and able to take advantage of them if, as and when they do. For the kind of workspace we want, the capitalization rates will be largely consistent with those that prevailed before the shutdown. Our last comment or note on ESG. As you know, we made a commitment to submit formally to independent scrutiny with respect to our ESG performance by 2020. The most important single step was for us to obtain a GRESB Assessment and to provide an annual ESG report. These reports, as you know, identify strengths and opportunities for improvement at Allied. What is most important to my way of thinking at least is that they will assist the board and management in establishing rationale priorities going forward and will provide benchmarks for measuring improvement on a go-forward basis. On December 2 last year, we published our inaugural Environmental, Social and Governance report. As reported, we obtained that GRESB Assessment and received a score of 64 which is not heroic, but which was recognized by GRESB as “a strong first year showing.” We intend to obtain a GRESB Assessment and to provide an ESG report on an annual basis going forward.
Operator:  We’ll go first to Caitlin Burrows with Goldman Sachs.
Caitlin Burrows: Hi, good morning, everyone. Maybe if we could just start with leasing activity, renewals and replacements increased nicely in the quarter, but it has been trending down on a trailing 12-month basis and occupancy is down, but of course off very high levels that you guys went through some of the drivers of that. But I was wondering if you have any visibility to reaching a trough occupancy and if so, when that could occur and how much lower it might get?
Tom Burns: We believe that our occupancy levels will be actually increasing over the course of the year. We, as I mentioned on the call earlier, occupancy really was related to us de-leasing some space and adding some buildings that weren’t included in the previous year – in earlier quarter. So, we are confident that we’ll be able to continue leasing and maintain occupancy levels. With respect to the increase in rents on space replaced or renewed, we achieved 17.2%, which was very close to what we have been achieving in previous quarters for quite a long time. In this quarter, we actually had some unusual circumstances, mostly in our Calgary portfolio, which had an effect on those numbers, making a very modest change to that, the rents that we achieved in the quarter. We don’t think that, that’s going to happen in the future at all we think that we will be able to maintain big rental increases, mostly because a lot of the space being renewed happens to be in Toronto, which is our best market, where we are confident we will continue to get big upticks.
Caitlin Burrows: Okay, that’s helpful. And then also Michael, you mentioned near the end of that you thought there could be meaningful acquisition opportunities that emerge in 2021. So, I guess I was wondering you mentioned that cap rates could be similar to before, but just recognizing that your cost of equity is higher and your leverage level is relatively higher? How would you finance those possible acquisitions and what decision – what kind of decisions would come into mind in deciding if those acquisitions make financial sense for Allied at this point?
Michael Emory: We are fortunate to have a lot of latitude in terms of how we fund acquisitions in the near-term. The big governor for us has always been our debt metrics. As you know, it has also always been suitability to our mission. So, the first question we will ask ourselves is whether the opportunity will enable us to provide distinctive urban workspace more successfully and more profitably? If the answer to that question is yes, then we will be very motivated to pursue the acquisition and we will make the decision as to the optimal form of funding in the context of the acquisition and what it might represent in terms of short-term accretion. The one thing that we have available to us in 2021 is the ability to use our balance sheet a little more aggressively than we have in the past and we can do that, because we are very confident of the $70 million that would be flowing into our EBITDA starting actually in 2022 and accelerating meaningfully in 2023. So, we have a lot of latitude, Caitlin and we will make each decision based on the circumstances at the relevant time. If our cost of equity improved, we might consider going that route. If it didn’t and the opportunity was extremely attractive, we might consider temporarily allowing our debt metrics to go a little higher than normal on a temporary basis. So, I think it will be a decision that we will have to make at the time under all the circumstances. But I can assure you of this, we will not hesitate to move and to act, if appropriate opportunities present themselves. And the other thing I wanted to signal and want to reiterate is that those opportunities will not be cheap. Anything we want is expensive, period, full stop. We did manage in late 2020 to pickup some very attractive small in-fill acquisitions, not at distressed pricing, but at what I would call pricing we might not otherwise have been able to secure. With respect to larger acquisitions, I don’t see that opportunity being open to us we will have to pay full value. And if they fit our focus, as I have mentioned, we have the wherewithal to do it and the readiness to make whatever decision we have to make with respect to the type of funding we will use.
Caitlin Burrows: Okay, great. That’s super helpful. Thank you.
Michael Emory: Thank you.
Operator: We will go next to Fred Blondeau with AI Securities.
Fred Blondeau: Thank you and good morning. One quick question for Tom, I guess, it looks like Allied’s portfolio outperforms the market in terms of sublet space for following up on your comment on that subject. What would be your base scenario in terms of sublet space in 2021 for Toronto CBD or Toronto core and also for Allied’s portfolio?
Tom Burns: In Toronto, it actually accounts for 56% of all sublease space that we have and we are under market in those spaces being offered for sublease by about 25%. So, we expect to be in a strong position if we are approached with subleases. Most of the subleases, Fred are relatively short-term and most of the tenants that will be interested in those spaces will be coming to us looking for an extension to the term, giving us an opportunity to bring the rents to market.
Fred Blondeau: Okay. And would you so –from your standpoint, do you think that we reached somewhat of a peak in terms of sublet space or it will stabilize?
Tom Burns: It’s a good question. I think actually we may see a decrease over the course of the year, because as tenants have already recognized, some tenants have already recognized, they are going to need the space and they have taken it off the market already. So I am not sure if we are going to see an increase in it, but we will probably see a decrease. Remember, most of the spaces being offered for sublease, about 75% of them are spaces under 10,000 square feet. So there is small tenants who have been sitting at home working from home wanting to throw their space on the sublease market just to see what happens. They are not getting any takers. They are going to come back and use that space.
Fred Blondeau: That’s great. And that’s it for me. Thank you.
Operator: We will go next to Jonathan Kelcher with TD Securities.
Jonathan Kelcher: Thanks. Good morning. Just I guess just sticking on the sublease space, it sounds like I think how much term roughly is left on the majority of that space?
Tom Burns: I believe the weighted average lease term is 4 years.
Jonathan Kelcher: Okay, sorry. Are you like just on the mechanics of that near-term, I guess the tenants work on subleasing and then they need approval from you and then you try to enter into a longer term lease, would that be a fair way of looking at it?
Tom Burns: Yes, usually what happens is the incoming tenants or the sub-tenants doesn’t usually like the existing lease, they will want to make some changes. They will want to put their stamp on the deal. So they will come to us to say, we want to sublease the space, but we need 5 extra years and we don’t want this provision in the deal. So, gives us some leverage to say, okay, we will give you the more term and we may modify that provision that you are asking for, but in return, we need an uptick in rents right now. That’s how it usually works.
Jonathan Kelcher: Okay, that’s helpful. And Cecilia, just looking at the outlook for next year on the same asset NOI growth, how much of that is going to be driven by the UDC portfolio versus the remainder of the portfolio?
Cecilia Williams: It’s the central urban workspace portfolio and UDC really driving the same asset NOI for 2021.
Jonathan Kelcher: Right. But in Q4, I think it was 13% or so versus like 0.5% between the two, is that the sort of a trend to expect going forward or do you expect more balance?
Cecilia Williams: No, that wouldn’t be the trend going forward. It would absolutely be more balanced in 2021.
Jonathan Kelcher: Okay. And then just lastly on the $450 million of development capital, how roughly how does that pencil out over the next couple of years?
Cecilia Williams: It’s very much front-end weighted. It’s about roughly between $250 million and $280 million expected in 2021 and then most of the balance in 2022, with very little beyond that.
Jonathan Kelcher: Okay, that is it for me. Thanks.
Cecilia Williams: No problem.
Operator: We will go next to Jenny Ma with BMO Capital Markets.
Jenny Ma: Thank you and good morning. Just want to revisit the acquisitions that you were talking about, Michael, I want to clarify if I understand this correctly. Are you saying that a lot of the opportunities you are expecting from smaller properties as opposed to larger properties like 700 DLGs in 2019? Did I understand that correctly?
Michael Emory: No, what I meant to say and perhaps I wasn’t clear, we actually were successful in the latter part of 2020 in securing a number of small infill acquisitions, which I think have very meaningful long-term potential for the business. What I anticipate in 2021 would perhaps be more – a few more of those going forward, but what I am anticipating more meaningfully is larger transactions in the Montreal, Toronto and Vancouver markets that would be more akin to the landing in terms of scale and we will be very motivated to pursue those transactions if indeed they arise and we expect to have to pay for them as we did in 2019. So, what I meant to suggest or telegraph is our expectation that larger opportunities will be available to us in 2021 and if they are we will certainly be willing, motivated and able to pursue them.
Jenny Ma: Okay. So it sounds like it’s probably weighted towards mid to late 2021, is that fair, if they do come to pass?
Michael Emory: The one thing about acquisitions that you can honestly never predict is when they are going to arise. It could happen tomorrow. There is nothing in our sights as we sit here today. But literally, given our experience over 18 years now, an opportunity could arise tomorrow or we could be looking into nothingness well into December. So, we just have no way of predicting that. I just have a strong sense based on what I am hearing from others in the marketplace that transactions of some consequence are likely to come to the market over the course of 2021. I am hopeful that happens. But there is no assurance that it will, but I am – my sense is it will and if it does and those opportunities fit our investment and operating focus will be all over them.
Jenny Ma: Okay, great. And a separate, but related question, I am wondering if you are seeing any distress in the market, probably on the smaller side or you haven’t seen much of that given what’s gone on less?
Michael Emory: Sadly, no. It feels much like the – it feels much like the global financial crisis to me. I remember saying to investors then that the good news is there is no distress and the bad news is there is no distress and that was actually reasonably accurate then and certainly is accurate now. I will say this though, the smaller acquisitions that we saw over the course of 2020 and would expect to see over the course of 2021, our acquisitions from vendors who are not in distress, but are more motivated to sell than they would normally be. They are generally vendors who have a meaningful accrued gain in their asset who are not real estate professionals, but obviously very shrewd business people and who conclude that the disrupt auction going on around them makes it more in their interest to monetize their gain rather than to wait for more gain on if-come basis. So, I would characterize the smaller transactions we did in 2020 that way. So, people that are strong, not in distress, but more motivated by virtue of the disruption caused by the pandemic than they would have been pre-pandemic, the best example of that in my mind are the three fabulous assets we acquired on John Street. We have observed that row for years and years with interest and expressed interest for years and years with no takers. The same people or a few of the same people became much more receptive late in 2020 and they initiated the process that resulted in transactions, not huge allocations of capital, but long-term assets that we would not have expected to be able to get our hands on pre-pandemic. So we would love those and that is the one maybe benefit on the acquisition side of the business from the pandemic, but they are relatively small in terms of aggregate allocation of capital, but I think they are significant going forward. Hopefully, we will see more of those, but nobody is over-levered. Nobody is underwater to the mortgage. Nobody is in any kind of distress at least that we can discern or at least anyone that owns the kind of assets we are interested in. There is just no distress there. Even in Calgary, there is no distress.
Jenny Ma: Okay, I want to move through the renewal and re-leasing rates. So, it was mentioned it ticked down a bit in 2020 versus 2019. Just wondering if there was a tilt towards a reduction in the retention rate on renewals or just less activity from re-leasing, was it really – was driven by one or the other strongly?
Michael Emory: Just to understand the question, Jenny, what ticked down or what ticked down are you referring to – are you referring to the…
Jenny Ma: The 78%.
Michael Emory: Yes.
Jenny Ma: It’s down from sort of a mid-80% range that Allied has been trending at the last few years. So, I am wondering if it was a reduction in retention to renewals or just less activity on the re-leasing side that resulted in the tick down in 2020?
Michael Emory: Well, Tom might have a better specific sense than I do, but my sense from my perspective is we had more non-renewals in 2020 than we did in 2019 that we knew about pre-pandemic and they were non-renewals that resulted from the fact that the tenants had outgrown the space and we couldn’t accommodate them. We hate that. But it’s the one thing we can’t defend against. So, there are two in particular, Tom that I am thinking of that the tenant love the building, had a good relationship with Allied, but needed more space and we simply couldn’t provide it either in that building or anywhere else in the portfolio. Am I right?
Tom Burns: Completely correct. And a big influencer was there were 6 renewals in Calgary that took place that were coming off of long-term deals. So, these would have been rents that were quite high and the Calgary markets changed dramatically. So, we ended up taking less rent. So that had a big impact on those numbers.
Michael Emory: Yes, that would be the rent growth in Q4, that 7.3% or whatever it is, was largely driven to the low level relative to Q3, Q2, and Q1 by those Calgary transactions and then the lower renewal rate, if you will, were basically Toronto non-renewals that occurred because we simply couldn’t accommodate the growth of those tenants. And as I say, that’s one thing we hate more than anything and one of the reasons that growth in our asset base is important to us, because we hate not to be able to accommodate a tenant that is growing and who is well disposed to our type of space and to us as an operator, but that’s what brought the renewal rate down a touch in 2020 and it does have.
Jenny Ma: Okay, great. I have a couple of modeling related questions just on the capitalized interest. It looks like it went up by $1 million sequentially. So I am wondering what drove that was it an increase in the borrowing base that was something else and whether or not that’s expected to be carried forward into the next couple of quarters?
Cecilia Williams: Hi, Jenny. It’s Cecilia. The residential inventory needs to be included when you are trying to recalculate the capitalized interest. I can walk you through it offline, but it’s – the information is in Note 6 of the financial statement. So if you include that with the PUD balance and apply our weighted average cost of debt, it will get you within the range for the quarter.
Jenny Ma: Sure. That’s very helpful. One last question on the Quebec subsidy for CECRA, was that the catch-up on the one half of the landlord’s portion that they were subsidizing and how much of that contributed? That’s right, okay. And how much of that was attributed to same-store?
Cecilia Williams: It was $700,000 that we received from the Quebec government in Q4. So, we netted the 5.8 that we evaded in Q2 and Q3 with the $700,000 subsidy in Q4 for a net abatement of 5.1 in a year.
Jenny Ma: Okay. And that would be all of it right, it won’t come back in the quarters?
Cecilia Williams: Correct. No more expenses. Yes.
Jenny Ma: Okay, thank you everyone. I’ll pass it back.
Operator: We will go next to Brad Sturges with Raymond James. Your line is open. You may be on mute.
Michael Emory: Yes, Brad, you might be on mute.
Brad Sturges: Hello, can you hear me?
Michael Emory: Yes.
Brad Sturges: Great. Sorry about that. What I guess based on your discussions with your tenants so far, what is the base case assumption that they are using in terms of a more fulsome return to the office, is it kind of back half of 2021 depending on the vaccine rollout or how is that – how are those discussions going right now?
Michael Emory: Well, I would characterize it this way. In the fourth quarter, people were really uncertain as to when the pandemic would be over and they were really uncertain as to what over meant with the advent of the vaccine and I think the slow, but steady progress in the distribution and I guess introduction of the vaccine to the populations around the world, that confidence has been growing. So, there is still uncertainty on the part of our users as to when they will be comfortable coming back. I think a lot of people are thinking in terms of summer or sometime beyond that. But I wouldn’t suggest that a great number of the office users in our portfolio who have stayed away, have really decided definitively in that regard. Yet, there are a number of users who never went home, if you will, ourselves included to some degree. But with respect to those who did go home in a very big and emphatic way, I think they are still watching and haven’t yet committed to themselves let alone anyone else when they will be returning. We maintained constant communication not so much to force people to return. That’s a decision that’s entirely up to them, but to be ready for them when they do return. So, if we had to evaluate today, it’s – I am not expecting to see a heavy flow into the buildings beyond the people who are already here at least until the second quarter. I am certainly not expecting anything of consequence in the first quarter.
Brad Sturges: And ahead of that, would you expect the leasing activity or touring activity to ramp up ahead of that maybe late Q1 into Q2, if there is a plan to return or make decisions on office requirements kind of into Q2 or Q3?
Michael Emory: Leasing activity has been ramping up since the really late second quarter of 2020 and hasn’t slowed for Allied one bit, as Tom mentioned. We did 258 transactions in 2020. That’s a staggering number of transactions, 105 involved new tenants to the portfolio. So leasing has been ramping up discernibly and steadily in our portfolio since about June of 2020 and it hasn’t abated one bit for us.
Brad Sturges: And maybe just my last question is going back to the sublease discussion for a second, is it still in terms of your exposure still mainly media advertising companies, have you seen any change in terms of financial services companies in the sublease market putting space up to market?
Michael Emory: Haven’t seen any change. And as you know, we have very little exposure to the financial services sector.
Brad Sturges: Great, thank you.
Michael Emory: No problem.
Operator: We will go next to Mike Markidis with Desjardins.
Mike Markidis: Hi, everyone. Thank you. Sorry for beating a dead horse here probably some more of the same questions, but on the sublease space, I think you mentioned The Wall is 4 year and you said it for Toronto, it’s at 25% mark-to-market, do you happen to know what the mark-to-market would be for the entire pool?
Tom Burns: I think it’s 18.8%.
Mike Markidis: Okay, thank you. And then just a…
Michael Emory: That’s a pretty precise guess.
Tom Burns: Maybe it’s 18.7%, maybe it’s 18.9%.
Mike Markidis: And then just have you had any direct deals done in the past couple of quarters or you just mentioned that historically you would be to have them to come back…
Tom Burns: Say that again, Mike.
Mike Markidis: I am just curious in the past couple of quarters, you have actually done some direct deals on this basis has been listed, if that expansion is purely in addition to the sublease space or if there is a net in terms of leases that have been done to…
Tom Burns: We have done many direct deals.
Michael Emory: But just to be clear, Mike, are you asking have we done direct deals on sublease space? Is that the question?
Mike Markidis: In the past last couple of quarters, yes, in your leasing activity?
Michael Emory: No. No, we haven’t. We haven’t.
Mike Markidis: Fair enough. Alright. I will leave that one alone. I think we saw 400 Atlantic transferred to the development pool. And Michael, if I remember correctly, you mentioned 2 properties in Montreal, might be 1 additional and then 2 more in Vancouver. I was wondering you can give us a little bit more color in terms of the extent of the leasing that’s going to continue there and when those will be transferred to private at all?
Michael Emory: Well, I think Tom mentioned the de-leasing and so I will let him identify the properties we – are well-known to us.
Tom Burns: They are not – one is 700 DLG, where we are repositioning that building and the other one is El Pro in Montreal, where we are making way for larger floor plates to be available for the marketplace. And similarly in Vancouver, there is two buildings 342 and 375 Water where we are doing the same thing. We are making way to accommodate larger tenants to the buildings.
Mike Markidis: Okay. So, will the scope of those projects be the same as Boardwalk, Lougheed and 400 Atlantic in terms of necessitating public transfer or is it going to be something that’s…
Tom Burns: No, no, these are – no, they are just minor modifications physically to the buildings, whereas 400 there is a lot of work being done there, but these are small physical leasing issues.
Mike Markidis: Okay, great. Michael, I think in terms of the acquisition opportunity that you may see unfolding in 2021, I think you talked about in terms of the quantum and the scale of the transactions being similar to the landing from a, I guess, characteristic point of view, is it more of a difficult class AI type of opportunity set or do you expect that it might be more of the conventional 700 DLG type of transaction?
Michael Emory: I actually think both are possible. There could be a 700 DLG like transaction, but there could also be transactions more akin to the landing. So I am actually expecting them to fall sort of within that spectrum. And as I say, I have no idea which will present itself first or with more certainty, but I would think it would fall within that entire range or that entire opportunity set that we now consider appropriate for Allied.
Mike Markidis: Okay. And just from the 700 DLG type of transaction, is Toronto a market that would appeal to you on that basis or is it more a Montreal type of phenomenon where there is same amount of supply?
Michael Emory: Yes, it’s a really good question and it really is more a Montreal phenomenon. Montreal, the way we think of it, Montreal is the upgrade market and Toronto is the development market. So I am not aware of assets in Toronto that we would look upon the way we did 700 DLG in Montreal. And one of the things that made 700 DLG so appealing to us in addition to its base building attributes was the fact that there is no new supply being created in that market or at least no new supply of consequence and that’s very clearly not the case in Toronto. And so I would be a little more low to try and compete with the new building technology in Toronto than I am in Montreal.
Mike Markidis: That’s very helpful. Thank you. Just a few housekeeping questions for Cecilia, I just want to make sure I understood this correctly, I think Jenny pointed out, so there was a $700,000 net positive impact in terms of an adjustment for the Quebec government supporting of CECRA in Q4, is that correct?
Cecilia Williams: Correct.
Mike Markidis: Okay. And then offsetting that would have the new $500,000 provision, so basically $200,000 in this quarter?
Cecilia Williams: Yes, I mean, I guess if you want to look at it that way, yes.
Mike Markidis: Okay, I will take that. Thank you. And then I think you guys pointed out the fact that the finance, roughly $5 million of deferrals this quarter if that’s an indication around $2 million of that will be repaid in the first quarter. Is that the first bit commencement of repayments, because I don’t think you have given that color before is that – have you received any of the other deferrals back yet?
Michael Emory: That the reason we adverted to that, Mike is because that repayment is really coming directly from the Emergency Rent Subsidy. So, we haven’t made any representation with respect to what I might call ordinary repayment, but we actually know that $2 million will be paid to us early in 2021 under the Emergency Rent Subsidy and indeed at least half of it is in our pocket. I guess Cecilia says all of it’s in our pocket today. So, when it comes to something as certain as the government paying up, we are prepared to in a way essentially netted against the deferral. So, in our mind, I think the net deferral in Q4 was something like $3.5 million or so.
Cecilia Williams: Correct.
Michael Emory: And we – but we didn’t, we felt it was important to report the actual deferral, because indeed we did defer that receipt, but that $2 million of that deferral, I guess has already been paid off and the money is in our bank account. And the in fairness to the government, we should acknowledge that while the paperwork is cumbersome, we have worked closely with our tenants to assist them, because it’s very much in our interest to do so. And the government has been very prompt to pay once the paperwork is completed and submitted. We noticed that on CECRA, the payment was stunningly expeditious for a government and the same is true on the rent subsidies. So, I think that’s worth acknowledging the government really has been intent on providing support to these businesses and I think is to be commended for having done that.
Mike Markidis: Okay, thank you. It sounds like it’s having a positive effect. And just lastly, Cecilia, the FFO add-back for TELUS Sky, I think it’s been the same for the last couple of quarters and you kind of transferred it to the rental pool. And I understand that there is still some spend and activity that has to happen there. How should that line evolve in your internal forecast in 2021? Should it be different than gradually or do you expect this to change at some point?
Cecilia Williams: Sorry, what page are you looking at?
Mike Markidis: Well, just in your FFO reconciliation, there is the notional interest capitalization on the JV, about 600…
Cecilia Williams: The capitalized interest will drop off completely as occupancy takes place over 2021 and we complete them...
Mike Markidis: I guess, it will be more of a gradual slope as opposed to a waterfall.
Cecilia Williams: Yes. Yes.
Mike Markidis: Okay. Well, thank you very much.
Cecilia Williams: No problem.
Operator: We will go next to Matt Kornack with National Bank Financial.
Matt Kornack: Hi, guys. A quick follow-up on Mike’s questioning there with regards to the impacts of COVID in the quarter, so $500,000 you took in terms of the provision, there were no abatements of rents during the quarter were there?
Cecilia Williams: No, no abatements in Q4.
Matt Kornack: And I know you had provided some information and clearly, I think this relates to the $2 million that you have now received, but I think you had collected 70% of October rent at the time of Q3 reporting for tenants that were subject to CECRA, did that trail off and then ultimately, you are getting back the funds in Q1? Is that how we should think about it?
Michael Emory: If I understand the question, CECRA kind of ended on September 30. So, whatever implications for us that arose from CECRA hit our statements in the second and third quarter. There are perhaps some tenants who transitioned from, let’s call it, CECRA tenants to deferral tenants, but it’s a small amount. Most of our deferral tenants have been deferral throughout this disruption, let’s say and the good thing is almost every CECRA tenant qualified for the Emergency Rent Subsidy and even tenants who didn’t qualify for CECRA appear to qualify to some extent for the rent subsidy. So there is no whatever deferral we are reporting in aggregate would represent the total deferral we have provided in the year and whatever provision we have taken in relation to that, which I think is $2.7 million or $2.8 million would relate to those deferrals going forward. But there is no – like the CECRA tenants didn’t all of a sudden go into default, at the end of the CECRA program. In fact, I don’t think any of them have. We may have helped some of them a little bit more in Q4 and we maybe prepared to help them in Q1 and Q2 of this year. But probably more importantly, the Emergency Rent Subsidy has really taken over where CECRA ended and it’s taken over in a way that didn’t require us to abate any rent, which of course, is very helpful to us, but the CECRA tenants, the CECRA tenants base, didn’t falloff a cliff at the end of the CECRA program, that’s for sure.
Matt Kornack: Okay, fair enough. I just knew with the government that there was a bit of a delay in terms of guys receiving those funds, so being able to pay rent for Q4 may have been an issue, but it sounds like it’s not much of an issue…
Michael Emory: Well, that’s – and we would effectively have bridged them through that, Matt. So, that’s why $2 million of that we bridged instead of another tenant. Yes, we bridged them over the quarter end and we are prepared to continue to bridge people in relation to known Emergency Rent Subsidy receipts, because our experience is the government does indeed pay up and does do so pretty promptly.
Matt Kornack: Okay. Now, that makes sense. And then on parking sequentially, it improved, but I assume either there was an anomaly in December 19 or there is some seasonal uptick in parking revenue in Q4, but it looks like year-over-year, parking was still down a $1.5 million, I mean not surprising considering the state of the pandemic we were in. But can you comment on parking, I mean, obviously, once we are back open, presumably that comes back and people may not want to take public transit, so may actually beat some pressures there, but just thoughts in terms of your forecasting for parking in 2021?
Michael Emory: We are seeing it recover in Q3 and even in Q4. I think then that if I can call it the second shutdown has probably put some pressure on that recovery. And I would expect that to continue through the first couple of quarters in 2021 and begin to recover in Q3 and Q4 and we would have factored that into our internal forecasting.
Matt Kornack: Okay, that makes sense. And you mentioned on I guess Cecilia you were talking about TELUS Sky and the residential there, can you speak to how that lease up is going obviously you have a stunning product just interested in how it’s performing relative to pro forma?
Michael Emory: Sure. I will jump in here. It’s performing according to our revised predictions that we made last summer when we started to do the lease up. So, we still anticipate it will take a couple of years till it reaches I guess stabilized NOI.
Matt Kornack: Okay. And last one with regards to the leasing and I understand that we are going to get a little bit more clarity next quarter in Montreal, but are either of those two in Cite Multimedia knowing that there was some expected turnover there?
Michael Emory: Yes, that turnover is again built into our internal forecast, Tom and Tim Low and the Montreal team, are very much on top of that. And Tom has been encouraged by the level of activity. Our listing brokers have generated already long ahead of the actual expiry dates. So, I think not to put words in your mouth, Tom, but I think we are pretty comfortable with that.
Tom Burns: The level of activity has been surprisingly high. So we are very encouraged.
Matt Kornack: Okay. Now, that’s good to hear and it’s good to see that Montreal they seem to be a little bit more proactive in returning to the office. Thanks, guys. That’s it for me.
Operator: We will go next to Howard Leung with Veritas Investment Research.
Howard Leung: Thanks. Good morning.
Michael Emory: Good morning.
Howard Leung: Just wanted to follow-up on some of the 2021 forecast questions for same-asset NOI, I guess aside from the economic occupancies of 425 VJ and completed buildings, are you forecasting uptick in occupancy for these buildings in their portfolio or is it mainly driven by rent growth for renewals?
Cecilia Williams: It would be mostly driven by rent growth.
Howard Leung: Okay, that’s helpful. And then just I am just hearing a trend of I guess smaller spaces, those under 10,000 square feet there seems to be either tenants to grow out of them or existing tenants are maybe there are – some of them are subleasing them? Are you seeing the profile of demands throughout the pandemic shift towards maybe larger spaces? Is there – have you seen potential tenants shift more just kind of wondered your thoughts about that?
Michael Emory: I would say, the mix is more or less the same. I don’t think that there is a shift in size requirements at all. In Montreal, we ended up doing 130 transactions in the year, that’s been a very really active market and it was a mix of sizes, a lot of small deals. I don’t think that there is going to be a change in size requirements going forward.
Howard Leung: Right, right. Sorry, go ahead.
Michael Emory: Sorry, Howard. One of the things we may be seeing and I really will emphasize may, is the expansion in the type of tenants or user interested in the kind of space we operate, appears to be expanding and that was evident pre-pandemic, I have to say, but it appears to be continuing. And most notable in our minds in that regard is the deal with the law firm that Tom mentioned at The Well, for about 25,000 square feet. I don’t believe we have ever had a large law firm requirement in our portfolio anywhere in the country. I certainly can’t think of it if we have. And I think that’s significant and consistent with what we have been seeing on the part of professional services firms, including firms as exalted as Deloitte, who are looking at the kind of space we provide, whereas perhaps 5 years ago, it would have been unthinkable for them to do so. So, that change certainly doesn’t appear to have been arrested by the pandemic. And I don’t know if I could conclude that it’s been accelerated by the pandemic, but it’s still happening.
Tom Burns: Of interest. There was a law firm that we have on John Street in Toronto, doubled in size in 2020. They went from 9,000 to 18,000 square feet in size. So, I am not sure that means there is a trend, but there is two examples of professional services firms making good commitment to our kind of product.
Michael Emory: And that of course…
Howard Leung: Right, right.
Michael Emory: And that is encouraging to us and that’s why these transactions are far more meaningful to us than merely the square footage they represent.
Howard Leung: Right. Yes, it sounds like it’s a shift of that demand from a certain classes of tenants too. So that’s good to know. Thanks so much. I will pass the line.
Operator: We will go next to Jane Wilkinson with CIBC.
Jane Wilkinson: Thanks. Good morning, everyone. Apologies for taking over an hour.
Michael Emory: No problem.
Jane Wilkinson: Michael, you mentioned anything Allied wants to buy is going to be expensive, that’s in fact a given. So, the flipside of that is, is debt has probably never been cheaper and can you talk a little about what you are seeing in the debt markets relative to the expense of the debt rolling over the next couple of years and even within the context of those green bonds that even though those maybe expensive given that your debt never been cheaper that, that’s more than the countervailing force against that and it might not impact the coverage ratios from that perspective?
Michael Emory: I am inclined to answer by saying yes, yes, yes and yes. The debt market is astounding to us and has been for some time and clearly to our peers in the industry and the sector as well. There was a very interesting analysis done by one of your peers in the industry comparing how the debt markets have treated Allied Paper in comparison to how the equity capital markets have treated Allied units. And I think the gap is vaster for Allied than any other entity, any other public real estate issuer in the country. Now, on one hand, that’s appalling to me and shame on the equity capital markets. On the other hand, it signals opportunity in the clearest sense of the term. And that obviously, we are going to try to avail ourselves of the very favorable valuation of our paper that appears to be prevailing in the debt capital markets. And we will – we have been striving to do that for some time and we are going to continue to strive to do that. And I think the other thing I would say is, we are prepared temporarily to allow our debt to EBITDA to go up from its current levels, a) because the cost of debt is so attractive and b) because we know our debt-to-EBITDA ratios are going to come under wonderful downward pressure in 2022 and 2023, so, yes, yes, yes, yes and yes.
Jane Wilkinson: Equity markets will eventually get it right. That’s it for me. Thanks.
Michael Emory: Thank you.
Operator: We will go next to Pammi Bir with RBC Capital Markets.
Pammi Bir: Thanks and good morning. I will try to keep this quick. Just in terms of the comments around leasing, can you provide some sort of color on maybe what tenants are seeking in terms of changes to the lease terms in terms of renewals or new leasing duration or more flexibility in the leases? Are you seeing any of that at this stage or?
Tom Burns: None. They are consistently looking for long terms.
Pammi Bir: Got it. And then just lastly, just coming back to the law firm lease at The Well, I am just curious what were some of the factors that drew them to the property relative to, I think their existing space that you said they had an option to renew on?
Tom Burns: I think they were attracted to the amenities that are going to exist at The Well. It gives them an opportunity to refresh their space without renovating internally. But I think that they were attracted to a brand new building that’s going to have this probably the best amenity package in the city.
Michael Emory: Yes, especially from a neighborhood perspective. And there is no question, Pammi that, that particular tenant made the decision they made, because they believed it would help them attract, motivate and retain the kind of talented young men and women they need going forward. So, what we loved about the transaction was, it’s a law firm, which is an unusual use for us in our portfolio. Number two, they had made the clear decision that in order to succeed they needed to operate from collective workspace. And number three, they were persuaded at the end of the day that their ability to attract, motivate and retain talent would be enhanced by locating at The Well. There is no question in my mind that that is what motivated them at the end of the day.
Pammi Bir: Very helpful. I guess – sorry, go ahead.
Michael Emory: No, no, sorry, nothing.
Pammi Bir: No. Actually, I think you might have me leading to my next question, just on the – I am not sure if you have any sense of what the rents would have compared between what they are relieving versus what they are getting at The Well?
Michael Emory: I would think the gross rents are a little bit lower at The Well, because they have the benefit of the IMIT grant in the first 10 years of their lease term at The Well, but otherwise, I think there would probably be parity between the rents where they are and the rents that they will be paying at The Well.
Pammi Bir: Got it. Thanks very much. I will turn it back.
Operator: We will go next to Mario Saric with Scotiabank.
Mario Saric: Hi, thank you. Given the time, I suspect it’s only the 6 of us are still on the call now. So I will ask two really quick ones here, more clarification questions on the sublet space and kind of impressions that both Tom and Michael, you mentioned. So, first on the sublet space and Tom, I won’t ask for an answer with a digit or investment in it. So don’t worry, no decimals involved. It’s not like internally Allied is a little more comfortable about the broader market sublets was today than it did during the Q3 call. Is that a fair statement? And is the simple driver behind that, that we are closer to tenants coming back into the office today relative to 3 months ago or is there something else leading to that increased confidence it can be best of case?
Tom Burns: I am sorry I could not hear the question.
Michael Emory: I think the question is what accounts for the difference in total vis-à-vis sublease space in Q4 relative to Q3 when we were a little more uncertain? I am not sure if we were sounding more concerned in Q3, Mario. We probably just weren’t expressing ourselves properly. I mean, sublet space is optically problematic in any office market as you know, but in our portfolio, it has always redounded to our benefit over time. And I think recognizing that the bulk of this is actually in Toronto makes us probably more confident than ever that however this unfolds, it will unfold to our benefit over time and with a high degree of certainty. So, I don’t think anything has changed although Tom’s comments about the fact that some sublease space has been pulled off to the market in the interim, I think it’s noteworthy it was people reflexively threw it on the market and probably thought hey, if somebody comes along and grabs it, hallelujah. And then, so it could be those people or they might have thought, hey, we are going to work from home forever. And as reality set in either way, they might have taken that off the market. We do feel now just as I think I mentioned in Q3, we know the tenants in each of the spaces in our Toronto portfolio who are subleasing space and their motivation is not because they plan to work from home going forward, their motivation is their top lines are under pressure and have been under pressure for a while. One is a media group, not a great place to be right now, especially print media, another couple of ad agencies, again, still viable businesses, but ad agencies have had their top lines, conventional ad agencies have had their top lines under pressure for quite a while now. So I don’t think we are more or less confident now about our sublease space than we were. And we have seen it go down in Calgary and Vancouver, which actually to me is much more important. Toronto sublease space has never bothered us and we have never had anything but good outcomes from it.
Tom Burns: I thought we would express no concern about subleases in Q3. It hasn’t been a threat to us before and we don’t expect it to be, but there hasn’t been any change in the mood.
Mario Saric: Yes. Okay, that’s helpful. And then just to clarify the 250,000 square feet that you are referring to that’s the broader Toronto market as opposed to Allied’s portfolio in Toronto?
Tom Burns: Yes, yes, it is, Mario.
Mario Saric: Okay. My second clarification question would come back to Michael, a comment that you made that in discussions with tenants, they feel – you feel like they are fully committed coming back into the office. Is that comment grounded in the expectation that tenants are coming back into the office or the expectation that tenants are going to continue to keep the existing footprints that they have and is it still too early to conclude on that?
Michael Emory: I think the working premise would be that people are going to maintain the footprints they have and not contract or expand, but it is too early to assert that definitively. Lots of users are evaluating their needs in light of what they have learned and in light of what they expect to transpire in the future. And I don’t think we have enough data yet from our actual users to conclude even tentatively, where that may go over the next 12 to 24 months. But we are very confident based on ongoing discussions, which have continued really since Q3 and into 2021 now that the users we have spoke to will be bringing their workforce back to the office when the pandemic is over. How, at what pace, to what extent long-term, we don’t have enough data yet to make any kind of meaningful conclusion although it does appear to us that most of the users we serve are not contemplating having significant components of their workforce working from home. But again, at the end of the day it’s how reality unfolds and how people behave that will actually tell us where the market is going. Talk is cheap, whether it’s my talk in favor of people returning or some other clowns, proposition with respect to working from home. It’s what people do that really matters. And that’s what we are trying to gauge and we don’t have enough data yet to make definitive conclusions as to what’s going to happen over the longer term with respect to how our tenant base is going to use their space. I am reasonably confident about it, but I will be much more confident as tenants begin to return and as they begin to use their space on a full-time basis, again.
Tom Burns: One little bit of color, Mario is I mentioned a tenant in our Montreal portfolio, who is looking at expanding and they are looking at taking about another 20,000 square feet of space. And what they have said to us is they have had an office that had people densely packed into it, they wanted to make it available, more meeting room space in the future, allowing people to spread out just a little bit. So, this is a tenant that’s been super successful right through the pandemic and they are saying we want more space for our employees and we are not going to have them jammed into the same space. We may see some of that, early days.
Mario Saric: Yes. That’s an interesting point, Tom. But my last question is that we have been in this pandemic for about a year now. One of the question marks facing Allied coming into this pandemic is, how would a smaller tenant in terms of size fair during an economic crisis? And so just on that front, I am curious to hear in totality since the pandemic started, like how many office tenant business failures have the portfolios seen?
Michael Emory: Truly negligible, Mario. The office tenant base has held up extraordinarily well, small, medium, and large organizations, small, medium and large requirements, just as we experienced during the global financial crisis. Almost all of the stress has been quite understandably felt by the retail component of our tenant base. And we have had very minimal failure there so far, part certainly, because we have been prepared to work with some of the users in whom we have confidence and with whom we have relationships, but there, I mean, I can think of one example only in the office component of the tenant base, which was a smaller co-working entity, not spaces, spaces has been awesome throughout, but a very small co-working entity in our portfolio, where we basically allowed them to give back 8 small locations aggregating…
Tom Burns: 15,000?
Michael Emory: Yes, 15,000 square feet and retained two others and they would have failed had we not done that. That’s the only instance I can think of where any significant amount of space was shall we say surrender to us with our cooperation. And I don’t believe there have been any bankruptcies within the office tenant base, certainly not anyone of any consequence whatsoever. So it has followed exactly the path we went on or went down in the global financial crisis, there too there was minimal stress in our office tenant base and all of the stress was felt by the retail component of the tenant base. And the stress that they experienced then was nowhere near as dramatic as the stress that’s being experienced by our tenant base now, but interestingly, the tenants then were nowhere near as established in their space and in our portfolio as they are now. So, so far, there has been negligible failure in our tenant base as a result of the pandemic and I mean, negligible.
Mario Saric: Great. Thanks for the color. That’s it for me.
Michael Emory: No trouble.
Operator: And at this time, there are no further questions.
Michael Emory: Thank you, Jennifer and thanks to each of you for participating in our conference call. We look forward to keeping you apprised of our progress going forward. If in the interim, you have any questions, all of us can be reached by telephone. We are in the office and we are hard at work. Thanks very much and have a great day.
Operator: This does conclude today’s conference. We thank you for your participation.